Operator: Good day, and thank you for standing by. Welcome to the Aegon's First Half 2025 Results Conference Call. [Operator Instructions] Please note that today's conference is being recorded. I would now like to hand the conference over to your speaker, Yves Cormier, Head of Investor Relations. Please go ahead.
Yves Cormier: Thanks, operator, and good morning, everyone. Thank you for joining us for this conference call on Aegon's first half year 2025 results. I'm Yves Cormier, Head of Investor Relations, and joining me today to take you through our progress are Aegon CEO, Lard Friese; and CFO, Duncan Russell. Before we start, we would like to ask you to review our disclaimer on forward-looking statements, which you can find at the end of the presentation. And with that, I would like to give the floor to Lard.
E. Lard Friese: Thank you, Yves, and good morning, everyone. I want to start today's presentation by informing you about the next steps in Aegon's transformation and running through our commercial developments before Duncan will address our results in more detail. So let me begin on Slide #2 with the key messages. Our strategy is to grow and transform our businesses, and we made good progress in doing so during the first half of 2025. We are on track to deliver on our strategy and on all our targets. Our operating result was EUR 845 million, up 19% compared with last year. This increase was mainly driven by profitable business growth and less unfavorable claims experience in the U.S., but also in the U.K. and in our International segment. Operating capital generation before holding and funding expenses amounted to EUR 576 million, decreasing by 2% over the same period. New business strain increased, especially in our U.S. strategic assets as we grew the business. Commercial momentum remains strong across our key markets leading to higher new life sales and more net deposits. The capital position of our operating units remains strong and above their respective operating levels. Furthermore, in the U.S., we have extended the hedging of the variable annuity portfolio to cover part of the base fee exposure, which reduces our exposure to downward equity markets further. Cash capital holding totals over EUR 2 billion following the receipt of planned remittances from all our units and the completion of a EUR 150 million share buyback in the first half of the year. On the back of the solid performance, we have increased the interim dividend by EUR 0.03 compared with last year to EUR 0.19 per common share. Furthermore, today, we announced a EUR 200 million increase to the current share buyback program, which began in July. In total, we will buy back EUR 400 million of shares during the second half of 2025. This once again demonstrates our ongoing commitment to return excess capital to shareholders unless we can invest it in value-creating opportunities, and it is consistent with our plan to reduce our cash capital at holding to around EUR 1 billion by the end of 2026. Today, we are also announcing a review of potential relocation of our head office to the U.S. I will now move to Slide #3 to provide you with some background on this review. This is an important step in the transformation of our company. In recent years, Aegon's business in the United States, which accounts for approximately 70% of Aegon's operations has become Aegon's primary market and central to the company's strategy and long-term growth. The relocation of Aegon's legal domicile and head office to the United States is a logical step, is expected to simplify Aegon's corporate structure as it would align its legal domicile, tax residency, accounting standard and regulatory framework with a geography where it conducts the majority of its business. Moreover, bringing the head office closer to our largest market allows much closer cooperation between the holding and its main business unit, which is an important enabler to grow successfully in the long term. As part of the review, we will evaluate the additional advantages that would come with being a U.S.-based company. This includes the impact on all of Aegon's stakeholders and of making our listing on the New York Stock Exchange our primary listing alongside our Euronext listing. Another key component of this review is the implementation of U.S. GAAP reporting, which is a complex process, which would likely take 2 to 3 years to complete. Preparations for the implementation have begun. We aim to share the outcome of this review at our Capital Markets Day on December 10 of this year. With that, I will now move on to Slide #4 to discuss our recent commercial performance and starting with the Americas. We continued to deliver on Transamerica's transformation, growing our strategic assets during the reporting period. World Financial Group recorded a 14% increase in its number of licensed agents to over 90,000, thanks to successful recruiting efforts and improved retention. The productivity of the agents selling life insurance products increased mainly from higher average premiums per policy. This offset a slight reduction in the number of multi-ticket agents, while it led to an increase in Transamerica's market share in WFG U.S. life sales. This higher agent productivity at WFG was one of the key drivers of the 13% increase in new life sales in our Individual Life business. We also recorded strong growth of new life sales in the brokerage channel, driven by the successful launch of a fully digital experience of a whole life final expense product last autumn. Furthermore, we continue to see steady growth in the RILA product, where net deposits nearly doubled compared with last year. In the savings and investments segment, we recorded solid net deposits in our retirement plan business over the reporting period. This was driven by midsized plans, partly supported by the onboarding of a large pooled plan. Written sales continue to be strong, which we see as a positive indicator for future growth of our book. Finally, we realized further growth in the general accounts stable value product and in IRAs as we work to increase profitability and diversify revenue streams in the retirement plan business. Let's move on to Slide #5 for an update on the other units. At Aegon U.K., we continue to make progress on the strategy we presented at the Teach-In in June of last year. Deposits in the Workplace platform can be lumpy. And in this period, we benefited from the onboarding of a larger scheme. The Adviser platform business continued to be adversely impacted by ongoing consolidation and vertical integration in nontarget Adviser segments. In the International segment, our joint ventures in Brazil, China as well as Spain and Portugal, all generated higher new life sales. This was partially offset by lower sales at TLB as a result of changes in the competitive landscape in Singapore. Aegon's Asset Management reported solid third-party net deposits during the reporting period. Net deposits in the Global Platforms business were mostly attributed to alternative fixed income products. Strategic partnerships net deposits were driven by our Chinese joint venture, which benefited from a collaboration with the consumer finance platform. I will now hand over to Duncan to discuss our financial performance in more detail.
Duncan Russell: Thank you, Lard. Let me start with an overview on Slide 7. In the first half of 2025, the operating results increased by 19% year-on- year mostly reflecting an improvement at Transamerica. Operating capital generation before holding, funding and operating expenses decreased by 2% over the same period, mainly driven by higher new business strength. Free cash flow in the first half of 2025 amounted to EUR 442 million, and this is a significant increase compared to the EUR 373 million generated last year. Cash capital at holding remains very healthy, standing at EUR 2 billion for the end of June, allowing us to announce an increase of our ongoing share buyback program. On a per share basis, valuation equity, which consists of the sum of shareholders' equity and the CSM balance after tax decreased by 5% in the period, mostly from the impact of unfavorable exchange rate movements on the group CSM, which were partly offset by a strong net result. Exchange rate movements were also the driver for the reduction of gross financial leverage. And lastly, the group solvency ratio decreased by 5 percentage points compared with year-end 2024 to 183%, mainly from the new share buyback program and the reservation of the 2025 interim dividend. Using Slide 8, I will address the development of our IFRS net results in the first half of 2025. The operating results amounted to EUR 845 million coming in at the top end of the EUR 750 million to EUR 850 million run rate range we had indicated with the full year 2024 results. In the U.S., the operating results improved materially year-on-year to EUR 685 million within our guided range of EUR 650 million to EUR 750 million. The result benefited from growth in our strategic assets, notably the Protection Solutions business with some offset in distribution where the operating margin fell in the first half of 2025 as previously flagged, as we invested further in the business. We had an improved result in financial assets because of less unfavorable experience variances from onerous contracts. Claims experience was largely offset by reserve releases. Unfavorable reserve changes due to premium variances that we saw in the U.S. in the second half of 2024 continued into the first half of 2025. As we previously flagged, but to a materially lesser degree. The operating results of the U.K. increased is benefiting from business growth and favorable markets. In the International segment, the operating results increased mainly from a higher CSM release in TLB and Spain and Portugal. Aegon Asset Management's operating results as well as out of the holding was broadly stable compared with the same period of last year. Moving on. Nonoperating items were an aggregate favorable in the period, driven by hedging results recorded in fair value items. Other charges amounted to EUR 207 million, mostly because of the assumption updates in the U.S. and at TLB to address the experience we've recently seen. Finally, we booked a EUR 50 million contribution from our stake in ASR. Looking forward to the second half of the year, we are increasing our guided operating results range for the U.S. by $50 million to EUR 700 million to EUR 800 million, but we're keeping the group guidance of EUR 750 million to EUR 850 million, reflecting the current exchange rates. I'm now moving on to Slide 9. Based on the strong net result and a positive contribution of the assumption updates to OCI, shareholders' equity increased slightly over the period. The CSM balance decreased over the period, mostly because of unfavorable currency movements. In U.S. dollars, the CSM of our strategic assets in the U.S. increased thanks to profitable new business, while the CSM of our financial assets decreased due to the runoff of the book, the impact of claims experience as well as the impact of strengthening policyholder behavior assumptions. Outside the U.S., the changes to the total CSM balance were limited with the U.K. CSM decreasing modestly on a local currency basis and the International segment, CSM increasing modestly from assumption updates. Overall, valuation equity per share decreased by 5 percentage points over the first half of 2025 to EUR 8.47 per share mostly due to the exchange rate development. Slide 10. Operating capital generation or OCG decreased by 2% compared to the first half of 2024. OCG from the U.S. decreased by 4% or 3% in U.S. dollars. OCG from the strategic assets decreases our investments in business growth, drove higher new business strain. OCG from financial assets increased mostly from higher fees as variable annuity account balances increased on the back of favorable markets. Furthermore, claims experience in the period was less than favorable than in the same period last year and included $86 million of unfavorable mortality, largely related to the Universal Life book. Looking through the unfavorable claims experience in the period, we continue to observe a quarterly OCG run rate for the Americas of around $200 million to $240 million. The OCG benefited from favorable markets as well as favorable nonrecurring variances. The International segment reported lower OCG with improved underwriting experience in TLB being offset by lower OCG from China. Aegon Asset Management's OCG was stable compared to the same period of last year. Looking ahead, we continue to expect OCG before holding, funding and operating expenses of around EUR 1.2 billion in 2025. I'm now turning to Slide 11. The capital positions of our business units remain robust and above their respective operating levels. The U.S. RBC ratio decreased by 23 percentage points compared with year-end 2024 to 420%. Market movements had a 15 percentage points negative impact on this ratio. Of this, 5 percentage points was due to hedging, rebalancing and cross effects as a consequence of elevated market volatility in April, which we flagged with the first quarter trading update. The remaining unfavorable impact was largely driven by valuation moves in our alternative asset portfolio and lower interest rates. Onetime items had a 9 percentage points unfavorable impact due to restructuring costs, the annual actuarial assumption update and several smaller items. For the remainder, operating capital generation in the period was offset by remittances to the group. Finally, in mid-August, we decided to expand the dynamic hedge program of our variable annuities to cover the equity market exposure of the fees of 25% of the base contracts. This represents an additional lever available to us to manage our risk profile going forward, reduces our economic equity market exposure on the VA block, and thus capital requirement and first solidifies the expected runoff profile, albeit with a small negative impact on run rate OCG. In the U.K., the solvency ratio of Scottish Equitable decreased by 1 percentage point to 185% as operating capital generation in the period was offset by remittances and investments in the business. Slide 12. Cash capital at holding remains extremely healthy, standing at just over EUR 2 billion. Free cash flow amounted to EUR 442 million in the period and included remittances from all our units as well as capital returns from our stake in ASR. We returned EUR 110 million of capital to shareholders through share buybacks. And in addition, we purchased 14 million worth of shares, which will be used for share-based compensation plans. Today, we have announced a EUR 200 million increase for the currently ongoing share buyback program, bringing it to a total of holding, around EUR 1 billion by the end of 2026. Let me conclude our presentation with the final slide on Page 13. Taking into account our performance in the first half of 2025 and the outlook for our businesses, we are on track to achieve all of our financial targets for 2025. We look forward to meeting you at the Capital Markets Day on December 10 in London. At the event, we will share the conclusion of the review regarding a potential relocation of Aegon's head office to the United States. And with that, I would now like to open the call for questions. Please limit yourself to 2 questions per person. Operator, please open the Q&A session.
Operator: [Operator Instructions] And your first question today comes from the line of David Barma, Bank of America.
David Barma: To start with, can you talk about what drove the decision to cover 25% of the variable annuity based fee, please? Did you see that as the optimal balance between cost of protection? Or is it a first step and you'd like to do more over time? And I'll ask my second straight away because it's linked to that. The -- that combined with the measures taken on the Universal Life block will weigh on OCG going forward, but you've reiterated the guidance. We've been in a similar situation in the past 2 years with mortality first and then the drag in China, both being offset by other measures. So as I'm trying to understand how reliant OCG is to the current level of equities and to what extent stronger-than-expected business growth is making you comfortable with the OCG level that you're guiding for? If you can give a bit of color on that, please?
E. Lard Friese: Thanks, David. Yes. Okay. So the VA based fee hedging, David, we executed upon that in recent days, actually last week, we executed upon it. And that is an additional tool we brought into our toolkit to manage and stabilize the capital generation and the earnings profile of our legacy variable annuity book, which is in runoff, as you know. We did that for a number of reasons, partly to stabilize capital, partly to bring an additional tool kit, partly because equity markets are at a good level. So it's just part of a normal ongoing management unilateral actions related to financial assets. The 25% again, it's a bit -- probably a bit of prudence on our side. We wanted to execute upon that, monitor how it works to make sure you understand it fully. And then in the future, once we fully have observed that we could increase it or decrease it depending on how we view things. So one thing, we do have to balance and manage when we do these things is the impact of flooring on our capital position. So that is one thing, which we continue to monitor. But the net-net, it's reduced our underlying economic equity exposure on that VA book, which I think is a good thing. In terms of OCG, actually, it's a fairly clean quarter. We've reiterated our guidance. If I take the actual reported OCG for the half year, add in our quarterly run rate, then we're still getting into our guided range of around EUR 1.2 billion for the year. Your comments on our equity sensitivity, actually, we're not particularly equity sensitive. You can see the sensitivities in our balance sheet, which are not particularly large. And we -- I think we've guided that our OCG is sensitive by plus or minus 10% to around USD 40 million. So again, not particularly equity sensitive to be honest.
Operator: Your next question comes from the line of Michael Huttner from Berenberg.
Michael Igor Huttner: I wanted to say it's almost like -- sounds like goodbye, the decision to -- and I take it as a decision if you've already started doing U.S. GAAP, it sounds to me like a decision. So first question on the U.S. GAAP, can you -- as an indication, where will it land roughly relative to the operating profit or the OCG we've got already? And the other two, I know that it's more than two questions. The pooled plan, how big it is? Because I guess it's around EUR 2 billion, but I don't know. And then also the figures on the new business strain. If I may, the economic exposure, the VA benefit, how much does it reduce the capital required?
E. Lard Friese: Okay. Michael, that's a number of questions. Let me confirm, it's EUR 1.9 billion the pooled plan that you're referring to as part of the retirement growth of net deposits in this half year. For the remainder, I hand over to you, Duncan.
Duncan Russell: Yes. So Michael, the -- on U.S. GAAP, no, it's too early to tell. And I don't want to give any sort of guidance on that, that would be misleading at this stage, to be honest. Then on the capital requirement from the VA, it's a small capital benefit. We are reducing the equity exposure, which will reduce the required capital by a small amount in the third quarter.
Michael Igor Huttner: And the new business strain?
E. Lard Friese: I'm not entirely sure what your question was on new business strain. But if I look in the quarter, our new business strain was more or less as we anticipated, it was roughly EUR 6 million higher than our guided run rate in aggregate.
Operator: And the next question comes from the line of Farooq Hanif from JPMorgan.
Farooq Hanif: I just want to delve a little bit into your thinking on the redomiciliation because you've told us, obviously, that you've considered this in the past or it's been on the table, particularly when you move to your regulatory domicile to Bermuda. So I mean, I get the point about it makes sense from the point of view of most of your business is obviously from the U.S. But I just want to understand what's changed given that you -- I believe that you've probably looked at this before. So I mean, the things that come to my mind are regulators, does it also make it easier for you to execute on some of your plans in the U.S.? Would that be a factor that, for example, in terms of being able to use U.S. GAAP and just being located there. I wonder if you've been willing to just talk a little bit more about this, I mean, I realize you're reviewing it all, but just some of the other factors that are important. And then -- sorry, that was a very long question. Second question, how clean is your EUR 845 million operating profit? Can you -- I mean you did quickly run, Duncan, run through some points, but how clean do you think it is?
E. Lard Friese: Yes. So Farooq, I will answer your first question and take it through the rationale and everything that you asked for. And then -- but let's start to clear the questions to Duncan on the financials, the second one.
Duncan Russell: Yes, Farooq, it's pretty clean. So we are happy with the first half IFRS operating profit. We reported EUR 845 million as you mentioned. And if I -- there were still some negative variances. If we add back all those negative variances, which is roughly EUR 92 million for the group, we get to an adjusted number of around EUR 937 million, which is strong. . Having said that, as we flagged at the full year, we do have a recurring VA interest accretion, which we deduct, let's say, EUR 30 million to EUR 35 million. So underlying around EUR 900 million in the first half. Since then FX has weakened. And hence, we're coming back into around the EUR 850 million level, which is in the guided range. So a pretty good quarter, a pretty good half year, Farooq, to be honest.
E. Lard Friese: So Farooq, on the rationale and everything related to what you asked on the potential move to the U.S. A couple of things here. So the Aegon transformation, as we all know, is pretty profound, and we've done quite a number of steps over the last years to be where we are today. And we are now ready for this next step in the transformation. At the time that we were announcing the combination of our Dutch business with ASR and then the subsequent closing of that in July -- at the beginning of July of 2023. We should all go back to that moment because it was in a very important moment. At that point in time, we were in the middle of implementing IFRS 17 -- had just implemented IFRS 17, and we were in the middle of disclosing it for the first time. That's number one. So at that point in time, there was not U.S. GAAP available at all. That's number one. Number two, we were closing the transaction with ASR, which is a very comprehensive transaction. We needed to make sure that we embedded the group after that appropriately operationally. We also moved as DNB could no longer be, had no legal basis any longer to maintain to be our group regulator. We moved our legal seat to Bermuda. And then subsequently, the BMA became our regulator, and we wanted to embed everything appropriately. And let's also not forget that in that same period because we closed the transaction on the 4th of July. But in June, that's a couple of weeks earlier, 2 weeks earlier, we had a Capital Markets Day in London where Transamerica was launching its strategy and its plan. And now we have 2 years behind us, and we can see how it's progressing. And at that time, we were at the start of that execution. And we are now 2 years further ahead, and we can now see that we have conviction that our U.S. team is executing very well. And you can see the growth, et cetera, is really coming through and now the U.S. business is 70% the overall footprint of the group. So the reality is that we are now ready for this next phase of the transformation. We believe it is logical that if the U.S. is 70% of your business located in one of the thriving largest market in the world, it is clearly the locomotive, if you will, that is able to carry entity to be the front part of the train that is Aegon Group. And as we aim to grow the U.S. business in the future, we want to be close into it and moving our holding company to our largest market is a logical thing to do. So we're leaning in. That's what you're -- to a reality of our business. And at this point in time, we are ready to do so. We have done a lot of work, but we aim to -- we need to discuss in the public domain with a number of stakeholders, all the implications, one of the most important stakeholder groups being our own employees, the works councils, all the implications for them. And then we will -- and also a number of other stakeholders and then we will conclude the review before the Capital Markets Day and then share the results of that review with you.
Farooq Hanif: So just -- I'm really sorry to jump in, and I'm taking time, but has there been any regulatory pressure to do this?
E. Lard Friese: No.
Operator: Your next question comes from the line of Iain Pearce from Exane BNP Paribas.
Iain Pearce: They're all around the redomiciliation. First, if you could just touch on what you think the main challenges will be of potentially redomiciling obviously, you flagged U.S. GAAP, but just sort of what you think the main challenges of the move would be? And have you had any conversations with your main shareholder about this move? I mean clearly, that article of association might cause some problems for them with a redomiciliation potentially. And then the second one is just around the asset allocation opportunities of redomiciling and moving to a U.S. regulated entity. Do you see that one of the main benefits of -- and is the plan to really re-risk the asset portfolio in the U.S. and increased private asset allocations as part of this redomiciliation?
E. Lard Friese: Thank you very much Iain. I'll take the first couple of questions. And on your last question, I'll hand it over to Duncan. So if you look at the key challenges. So first of all, let's clear the anything with association Aegon. We cannot speak for them, obviously. They are informed, and we cannot speak for them. But they are informed to and we'll continue to engage with them obviously in the coming period. When it comes to the main challenges, well, we expect this move -- head office processes in the U.S. We need to build down head office processes here, and we need to make sure that we do that well. U.S. GAAP is a key gating item. The -- we started with it, but the project has started, but it's implementing a new accounting standard. It's going to take some time. And that is a key thing to make sure we do right. And of course, in the meantime, we need to make sure that this transition process is appropriately change, managed and those, I would say, are the key things to mention here. When it comes to the asset allocation opportunity potentially of the -- Duncan?
Duncan Russell: Yes. I think no impact on the redomiciliation on our allocation choices or opportunity. We manage our entities on a local capital basis. So we're already operating under the U.S. statutory regime for Transamerica, and we have asset allocation appropriate to our liabilities in that market, and I see no impact from the redomiciliation.
Operator: And the next question comes from the line of Nasib Ahmed, UBS.
Nasib Ahmed: So first one on just M&A. You've still got the financial assets. There's been a big variable annuity deal where I think the counterparty managed to get over the line on the counterparty risk, and that was one of the blockers for you guys, I think. So any thoughts on kind of third-party actions on the EUR 3.3 billion locked in? And then on the flip side anything that you would potentially buy? And how does the U.S. redomiciliation help with M&A on the acquisition side? Second one is on OCG versus IFRS in the U.S. So Duncan, you raised the guide on the IFRS by EUR 50 million, but I think the OCG guide stays the same. What's the difference? Why haven't you raised the OCG guide in the U.S.?
E. Lard Friese: Yes. So I'll take the M&A side and then you can do financial asset, Duncan on the piece about the OCG. So on acquisitions, same as we mentioned before, it's very much linked to our strategy. We want to grow like anybody -- like any company wants to grow. So if we see an opportunity that makes sense and it strengthens our business and it makes sense both for financial criteria and nonfinancial criteria, then we will certainly look at it. We will be disciplined. We're not going to do any M&A unless we believe that we can integrate it and that we will create value for our stockholders. Now the U.S. is a large market, it is our largest market. So being there physically with your head office, of course, and being closer to that market on a daily basis, obviously, would be positioning yourself more beneficial for that. But our M&A approach has not changed to what we mentioned before. Duncan?
Duncan Russell: Two separate questions. On the financial assets, we continue to look at our unilateral, bilateral and third-party options on those books of businesses. We've been doing that for years. And should the transaction presents itself, which we find attractive for our shareholders, if they make sense, we'll do it. If not, we won't and we'll focus on unilateral or bilateral options. So no real change there. We just continue to look at all our options as we have been doing for the last couple of years. On the guidance, well, 2 things. Partly, the guidance reflects what we actually see in our actuals on a clean basis in the half year. So we saw -- we've seen that the U.S. operating profit performed well in the first half under IFRS, and that reflects, therefore, in the raised guidance, which means we expect that run rate to continue and on OCG, where we performed more in line with our previous guidance. And hence, that's driven the unchanged outlook there. Bear in mind, there are quite material differences in the way, for example, growth is treated under 2 regimes. So in the U.S. regulatory regime as you grow into a new business strain, which is pressing in the near term. Under IFRS, you create CSM, which come through in earnings relatively quickly. So that is also an explanation, if you really didn't catch it.
Operator: Your next question comes from the line of Farquhar Murray from Autonomous.
Farquhar Charles Murray: A couple of questions from my side, just mainly on the domiciling discussion. Obviously, it's been debated for a few years and does not seem a bit of a foregone conclusion, but I just wondered if you have a sense, therefore, on the actual like project costs of the U.S. GAAP implementation. And then obviously getting closer to the U.S. business makes a lot of sense, but I just wondered where that leaves your approach on the rest of the global footprint.
E. Lard Friese: Yes. So first of all, the costs are going to be part of the review, and we'll update you on the, let's say, on the outcome of the review at the Capital Markets Day. When it comes to the total footprint, well, as you know, we've set ourselves a perimeter in 2020 when I joined the company. We're now in that perimeter, and we have a strategy to improve and to create advantage business in that perimeter. And that is unchanged.
Operator: Your next question comes from the line of Benoit Petrarque from Kepler Cheuvreux.
Benoit Petrarque: So yes, the first one is actually on your ASR stake. What is your initial thoughts around your stake also going forward, looking at the potential relocation in the U.S. It sounds like it becomes less core than before. And then maybe on ahead of the potential relocation, do you plan to initiate deleveraging actions and yielding holding levels. So any plans to maybe refocus more on deleveraging next year?
E. Lard Friese: Duncan, can you take those questions?
Duncan Russell: Yes, nothing changes on either of those fronts. So again, today, we announced a review, we'll conclude on that review with the Capital Markets Day. And if we decide to proceed it will take 2 to 3 years, the leverage, no need to change our leverage given our footprint is what it is today. And on ASR, we've been consistent that we're a long-term patient holder. And there are 2 potential reasons we would dispose of that, either we have an alternative lease for that or we feel that the price reflect the intrinsic value. No change on either based on the announcement today.
Operator: Your next question comes from the line of Jason Kalamboussis from ING. Jason, it looks like we've lost your connection. Can you hear us?
E. Lard Friese: My suggestion, operator, is you move to the next question, and then if Jason comes back, we'll take his question, obviously.
Operator: I will now go to the next question. And your next question is a follow-up from Michael Huttner from Berenberg.
Michael Igor Huttner: On U.S. mortality Slide 17, can you talk a little bit about the unfavorable claims experience. I remember a figure, I think it was EUR 66 million in Q1. So normally, you would have EUR 33 million because of normal seasonality and there was EUR 33 million on top. I just want to get a feel, it's for which way it's going versus your assumptions? And the second question is, I mean, sorry, Lard, I didn't hear the answer on pooled. I did the numbers. So on the savings and investment Q2 2025, you had a EUR 2 billion net inflow. It was 0 in Q2 2024, and you mentioned pooled plan. And I'm really sorry, I didn't hear the number on that.
Duncan Russell: EUR 1.9 billion. The pooled plan, you guessed it was EUR 2 billion. You're pretty close. It was EUR 1.9 million. And for your other question, I will hand it over.
E. Lard Friese: Michael, we had the overall mortality in the U.S. in the second quarter was slightly positive. I would say more or less in line with our best estimate expectation slightly positive. So since the mortality update we did last year, we had positive 3Q, 4Q, negative 1Q, positive 2Q this year, and we remain comfortable with our overall mortality assumptions.
Operator: We have no further questions at this time. I would now like to hand the call back over to Yves Cormier for closing remarks.
E. Lard Friese: Thank you very much, Jerry, before I hand over to Yves. We will make sure we reach out to Jason Kalamboussis for his question.
Yves Cormier: All right. Well, thank you, operator. So this conclude today's Q&A session. Should you have any remaining questions, please get in touch with us at the Investor Relations team. And on behalf of Lard and Duncan, I would like to thank you for your attention. Thanks again, and have a good day.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.